Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Copa Holdings Fourth Quarter Earnings Call. During the presentation, all participants will be on a listen-only mode. Afterwards, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this call is webcast and recorded on February 10, 2022. Now we'll turn the conference over to Daniel Tapia of Investor Relations. Sir you may begin.
Daniel Tapia: Thank you, Chris and welcome everyone to our fourth quarter and full year 2021 earnings call. Joining us today are Pedro Heilbron, CEO of Copa Holdings; and José Montero, our CFO. First, Pedro will start by going over our fourth quarter and full year highlights. Followed by José who will discuss our financial results. Immediately after, we will open the call for questions from analysts. Copa Holdings financial reports have been prepared in accordance with International Financial Reporting Standards. In today's call we will discuss non-IFRS financial measures. A reconciliation of the non-IFRS to IFRS financial measures can be found in our earnings release, which has been posted on the company's website copa.com. Our discussion today will also contain forward-looking statements, not limited to historical facts that reflect the company's current beliefs, expectations and/or intentions regarding future events and results. These forward-looking statements involve risks and uncertainties that could cause actual results to differ materially and are based on assumptions subject to change. Many of these are discussed in our annual report filed with the SEC. Now I'd like to turn the call over to our CEO, Mr. Pedro Heilbron.
Pedro Heilbron: Thank you Daniel. Good morning to all and thanks for participating in our fourth quarter earnings call. Before we begin, I'd like to thank all our coworkers for their commitment to the company and recognize their continuous efforts and dedication to keep Copa at the forefront of Latin American aviation. To them as always, my utmost respect and admiration. Today we're glad to report strong financial results for the fourth quarter of 2021. During the quarter, international air travel demand in Latin America continued to recover, which allowed us to end the fourth quarter with 83% of Q4 2019 ASMs. Compared to the third quarter of 2021, unit revenues improved 11.2% with solid gains in both load factor and yield, while increasing capacity 16%. Adjusted unit costs excluding fuel came in at $0.061 for the quarter, a 2.4% reduction when compared to Q3 of 2021. For the quarter, we reported an adjusted operating profit of $115 million and an adjusted operating margin of 20.1%, an improvement of almost nine percentage points quarter-over-quarter and our best results since the beginning of the pandemic. José will provide further details on our fourth quarter financials. Now turning to the main highlights for full year 2021. Excluding special items, we would have reported a net profit of $2.7 million and an operating profit of $85.6 million with an operating margin of 5.8%. Overall, a strong result when compared to what we expected at the beginning of the year. We finalized the sale and delivery of our Embraer-190 and now operate an all-Boeing 737 fleet. We restarted 737 MAX 9 operations and received seven additional aircraft during the year to end 2021 with a total of 14 MAX 9. The additional aircraft also equipped with our Dreams business class cabin would allow us to provide world-class comfort to our business class passenger in more markets. In December, we launched our first new destination since the beginning of the pandemic by starting service to Armenia and Cúcuta in Colombia and Atlanta in the US. With these additions, we ended the year providing service to 68 destinations in North, Central South America and the Caribbean, strengthening our position as the most complete and convenient hub in Latin America. And Copa Holdings was recently recognized by Cirium for the eighth consecutive year, as the most on-time airline in Latin America during 2021. In fact, Copa's on-time performance was again the highest of any airline in all of the Americas. I'd like to take this opportunity to recognize our more than 6,000 Copa and Wingo employees for everything they do day in and day out to deliver a world-class travel experience to our passengers. Turning now to Wingo. It continued its regional expansion during the year, adding four new routes from Panama City to San José, Costa Rica; from Bogota to Lima; from Cali to Cancun; and from Medellín to Punta Cana. To summarize, in Q4 2021, we delivered our strongest quarterly financial results since the beginning of the pandemic. We were able to reach 83% of our pre-pandemic capacity in the fourth quarter. Our team continues to deliver world-leading operational results with Copa being recognized as the most on-time airline in the Americas. We delivered lower unit costs compared to pre-pandemic levels on less capacity. And we're strategically focused on restarting destinations and adding markets, strengthening our position as the most complete and convenient hub in Latin America. Overall, the recovery in demand and rebuilding of our network in 2021 was quite encouraging. Now, as I'm sure you're aware, 2022 is off to a much more challenging start. The Omicron variant is impacting both international travel demand in the region and the number of crews we have available to fly. Due to a reduced number of available pilots and flight attendants, we canceled approximately 1,000 flights during the month of January and February, which is 4% our Q1 schedule. Fortunately, we do not expect any crew availability cancellations for March. We're seeing however, an industry slowdown in bookings for Q1 travel that will cause our load factors and unit revenues to come in lower than the fourth quarter of 2021. José will share our Q1 guidance during his presentation. I'd like to reiterate, that we have a proven and strong business model, which is based on operating the best and most convenient network for intra-Latin America travel from our Hub of the Americas, leveraging Panama's advantageous geographic position, with low unit cost, best on-time performance and strongest balance sheet. And we expect that going forward, our Hub of the Americas will be an even more valuable source of strategic advantage. Now, I'll turn it over to José, who will go over our financial results in more detail.
José Montero: Thank you, Pedro. Good morning everyone. Thanks for being with us today. I'd like to join Pedro in acknowledging our great team for all their efforts and their great spirit during these many months of the pandemic. I will start by going over our fourth quarter results. Capacity came in at 5.1 billion available seat miles, which amounts to 83% of the capacity that we operated during the fourth quarter of 2019. Load factor came in at an average of 83.5% for the quarter, a 4.2 percentage point increase compared to Q3, while operating 16% more ASMs. We reported a net profit of $114.4 million or $2.69 per share. Excluding special items, we would have reported a net profit of $84.1 million or $1.98 per share. Special items for the quarter are mainly comprised of an unrealized mark-to-market loss of $8.9 million related to the company's convertible notes issued in 2020 and a reversal of $39.2 million related to the company's provision for the return of leased aircraft. We reported a quarterly operating profit of $155 million. Excluding the reversal of $39.2 million, we would have reported an adjusted operating profit of $115.8 million for the quarter. Our reported operating margin was 27%. Excluding these special items, we would have reported an operating margin of 20.1%. Unit costs, excluding fuel, were better than in the third quarter, coming in at $0.061 per ASM, driven by our continued focus on reducing expenses, as well as a quarter-over-quarter capacity growth of 16%. Our yields for the quarter came in at $0.127, an increase of 5.8% compared to the third quarter, while operating more ASMs. I'd like to highlight that our cargo revenues for the quarter also came in higher quarter-over-quarter and over 60% above our cargo revenues for Q4, 2019, driven by an improved cargo demand environment in the region. Turning to cash. During the fourth quarter we had a cash buildup of approximately $84 million, driven mainly by increased sales during the period, as well as by our continued focusing our costs. As a reminder, for our cash build measure, we exclude all extraordinary proceeds from asset sales, but include CapEx, a payment of debt principal and interest, as well as the payment of our leases. Now I'd like to go over our full-year 2021 financial highlights. Our reported net income came in at $39.9 million. Excluding special items, we would have reported an adjusted net income of $2.7 million or adjusted earnings per share of $0.06. Special items for the year included $22.8 million unrealized mark-to-market loss related to the company's convertible notes, passenger revenue adjustment of $20.8 million corresponding to unredeemed coupons from 2019 and 2020 sales and a reversal of $39.2 million in the company's provision for the return of leased aircraft. Reported operating profits came in at $145.7 million. Excluding the special items, we would have reported an operating profit of $85.6 million and a 5.8% operating margin. Finally, for the full year, we had a cash buildup of $133 million. I'm going to spend some time now discussing our balance sheet and liquidity. So at the end of 2021, we had assets of close to $4.2 billion and our cash short to long-term investments ended at $1.2 billion. We also ended the quarter with an aggregate amount of $295 million in unutilized committed credit facilities, which brought our total liquidity to more than $1.5 billion. In terms of debt, we ended the quarter with $1.6 billion in debt and lease liabilities, similar levels to the ones reported for the end of the third quarter. And our adjusted net debt-to-EBITDA ratio came in at 1.05 times. Turning now to our fleet. During the fourth quarter, we received one 737 MAX 9 and decided to keep three 737-700s, previously consider as assets held for sale. During the quarter we also completed the conversion of one of our 737-800s into a freighter. We ended the year with 91 aircraft; 68 737-800s, 14 737 MAX 9s and nine 737-700s. These figures include three 737-700s which are currently in temporary storage and the 737-800 courier. In Q1 of this year, we have received one 737 MAX 9 and expect to receive one additional MAX 9 aircraft to end the quarter with 16 MAX 9s and a total fleet of 93 aircraft. To our outlook. Based on the current state of the demand environment, air travel restrictions and the impact of the Omicron variant, we can provide the following guidance for the first quarter of 2022. We expect capacity to be approximately 88% of Q1 2019 levels or about 5.7 billion ASMs and we expect our operating margin to be in the range of 3% to 6%. We're basing our Q1 2022 outlook on the following assumptions: revenues of approximately 82% of Q1 2019 levels or approximately $550 million, CASM ex-fuel of approximately $0.06 and an all-in fuel price of $2.79 per gallon, an increase of approximately 15% compared to the average fuel price in the fourth quarter of 2021. Given the recent volatility in the environment, we believe it is premature to give complete full year guidance. However preliminarily we expect our full year 2022 capacity to be approximately 93% of 2019 ASMs and our CASM ex-fuel to be in the range of $0.059. Thank you. And with that, we'll open the call for some questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Savi Syth of Raymond James. Your line is open.
Savi Syth: Hey. Good morning everyone. Just on 1Q outlook. Given Easter is not until mid-April and kind of January, I believe this is a seasonally strong this month than 1Q. Is it fair to say that you have fairly good visibility into the quarter? Or are there some of those assumptions incorrect or perhaps the booking behaviour is so different today that maybe kind of March kind of matters a lot more to the quarter than it has historically?
Pedro Heilbron: Hi Savi, it's Pedro, here. So yes, I mean, our booking patterns are very different to what we were used to in normal times pre-pandemic. But what we've seen so far, but so far mean the last two weeks is, bookings coming back to "a normal level" or a normal meaning what we were seeing pre-Omicron. So -- but again that's just a few weeks. And what we've learned from this pandemic is that things change from one day to the other.
José Montero: Yeah. And we did see an impact in Omicron Savi during the month of January and early sort of bookings -- early in February. So there is an impact there but that's included within the guidance that we just issued.
Savi Syth: Makes sense. And then, if I might ask on the MAX fleet. Just one when do you start to -- when do you expect to start getting MAX 10s into your fleet? And two, just wanted to clarify, I think originally, I think the first 13 MAX 9s were supposed to be with 166 and then beyond with 174? Are you getting the 174-seat configuration now so you can get a little bit more gauge benefit here?
Pedro Heilbron: Yes, you're correct. The last two MAX 9s if I'm not mistaken have come with the 174 configuration. And so will the rest of the MAX 9s we still have to receive. And we will decide in the future. We haven't made that decision yet. It's the ones that are under a 166 configuration will also change to 174 which it takes very little effort but that decision has not been made yet. In terms of the MAX 10s...
José Montero: Yeah, I think that the MAX 10s are yet -- not yet in the pipeline for this year and next. So it's still some time left until we start to receive them. And again, I want to highlight also Savi that we have a lot of flexibility in terms of the subtypes that we have within the order. So we can switch them from 10s into other of the subtypes as well. So it's -- there's still quite a bit of flexibility related there. And it will happen yet -- remove from 2022 by a couple of years.
Savi Syth: Thanks guys. Thank you.
Operator: Thank you. Our next question comes from Stephen Trent of Citi. Your line is open.
Stephen Trent: Good morning gentlemen and many thanks for taking my question. Kind of two very quick ones for you, the first am I correct in thinking that you guys are probably not under a significant pressure in terms of your pilot pipeline? Just thinking about the more significant dislocation among the Latin Airlines versus the U.S. and considering maybe there's some pilots out there looking for work? Just sort of wanted a high level understanding how you guys are seeing your pilot supply.
Pedro Heilbron: Right. So short-term we are okay. We have still pilots that took voluntary leave during the pandemic that we can bring back. We activated every pilot that was on furlough but we still have the voluntary leaves. We can bring back. We also have an interesting pipeline from our own Flight Academy and we're going to have at the end of the year about 100 pilots there that we can -- and that we will incorporate into the airline. So, we're thinking its more medium term and we think that we're taking the necessary steps to be fine also medium term and beyond.
Stephen Trent: Okay. Great colour Pedro, I definitely appreciate that, and just one other quick one for me. I was intrigued by what you guys mentioned about converting one of your 737-800s into a freighter. Is this something that you might consider doing it with either 737-800s, or do you kind of see it as a one-off that should kind of be a near to medium term thing as the pandemic winds down?
Pedro Heilbron: Right. So, a few things there. First is that we made that decision when we had our aircraft in the desert were not flying and cargo was booming worldwide and in the region. And in hindsight it was the right decision. And we expect that aircraft to produce on a single airplane basis better profits than our last passenger or less profitable passenger aircraft. So, it was a good decision and we have an option for a second conversion in the coming years. And also these are the -- our oldest non-Boeing sky interior 800s. The other thing I would add is that we charter aircraft -- we already chartered -- we've been chartering for a while a freighter aircraft that fly regionally. So, this many of the hours are going to be replacement. This is our own freighter a much more efficient 800 freighter. It's going to replace a less efficient 727 freighter we chartered for regional flying and then we'll add hours to that. So, we're really happy with the decision. It's not turning us into a big-time freighter carrier. It's more of a niche opportunity, but I think it complements well the rest of our business.
Stephen Trent: Okay. I appreciate the figures. Thank you. I'll let someone else ask the question.
Pedro Heilbron: Thank you, Steve.
Operator: Thank you. And next we have Alejandro Zamacona of Credit Suisse. Your line is open.
Alejandro Zamacona: Thank you. Hi Pedro, José. Thank you for the call. A quick question on the Sub-6 brand. So, back in the Investor Day in 2019, you guided CASM to below $0.06 for 2021 onwards. And it seems that you are getting close to the target. And I'm wondering how would the number -- the current number would look like if COVID-19 wouldn't existed? 
José Montero: I missed the last part of your question Alejandro. So, you asked when how does the number look like in? 
Alejandro Zamacona: Yes. So the CASM, the current CASM ex-fuel, how do you think that would look like without COVID effect?
José Montero: Without the COVID effects? Okay. Okay. So look in -- I think that the principal component of our CASM reduction that we've seen so far is related to the fleet movements we have made. We've moved away from the 193, which was part of our initial assessment in terms of how to move into a Sub-6 CASM. I would say that again we are ahead of the plan in the sense that what we published back in 2019 assumed the larger Copa. So a lot of the benefits that we're going to get in terms of size were -- size of the company were going to flow down into the CASM figure. We are achieving that in a smaller Copa. So we're achieving the Sub-6 CASM at we're saying at 93% of pre-COVID capacity. So it is actually ahead of that. And I would say that some of the items that we've had in terms of overhead that we've reduced probably are on the margin. I don't think it's necessarily that material in terms of how where the CASM will be. Maybe the CASM will be at just above 6. But that certainly has made a difference. The fact that we have actually accelerated some of the fleet moves that we made being very effective in renegotiating a lot of contracts and also worked a lot in terms of where we're hit. So that's kind of what's gotten us faster into the Sub-6 target that we had.
Alejandro Zamacona: All right. Got it. Thank you. And then on the unitary revenue I mean the guidance for the first quarter 2022 show some implicit reduction relative to the fourth quarter of 2021. So would you say that it's fully explained by Omicron? And how can we think about yields, for the remaining year? 
José Montero: Yes. Yes I'll start by talking about Q1. And indeed it is related to Omicron in terms of the revenue figures. It is -- and I would say that, it is solely related to Omicron. There's two components to Omicron. One, is deal cancellations that we had, which reduced our revenue figures. It might not necessarily affect as much on a P&L basis, because it's resulting in cancellations. And then the portion of it is just a pure sort of softening, during the month of January and February related to how we're seeing demand. So that's on the top line. But I think when you match this to profitability for Q1 and kind of what our guidance is for Q1 the range that we have for an operating margin, there is also the impact of fuel in there, which have fuel that is 15% higher on a cost basis versus what we had in Q4. So that's another component of it. I would say, I mean kind of, be constructing a little bit sort of the operating margin between Q4 and Q1 that about two-thirds of the reduction in margin that we're seeing quarter-over-quarter is related to the Omicron sort of RASM impact and about one-third related to fuel. As for the rest of the year we -- I think it's too early to make an assessment for the rest of the year. I mean we think we are confident in terms of, what we're seeing in terms of capacity going forward. But I think there's still a lot of water to flow under the bridge in terms of, to put an assessment as to where the revenues are going to be for the rest of the year.
Alejandro Zamacona: Thank you, perfect.
Operator:   Thank you. [Audio Gap] of Wolfe Research. Your line is open. 
Q – Unidentified Analyst: Hello, good morning.
Pedro Heilbro: Good morning.
Q – Unidentified Analyst: How much would it cost to add WiFi onto your planes? And what sort of cost benefit analysis have you done there particularly, as you consider, the WiFi seats that you're putting on board? Thanks
Pedro Heilbro: Okay. So I don't have a figure for Wi-Fi right now on my mind. So I cannot really share that. It is something that we always look at. I mean it's been a trend in certain parts of the industry or the world. So we don't ignore it. But we have not yet seen a compelling case for it. But again, we stay very much on top of it. So when time comes we'll be ready to make the right decision hopefully. 
Q – Unidentified Analyst: Okay. And on the P&L, you're -- I can understand why the passenger servicing costs are half of what they were pre-COVID with no business travelers and the like. But why a simple onboard product as you mentioned -- but why are your distribution costs pretty much all the way back to pre-COVID levels? I feel like those two things should sort of trend together, particularly with the lack of business travel and more direct bookings. Is there an opportunity, to do better there and sort of why those two costs have diverged? I'd be curious about that. Thanks
José Montero: Yes. There's a couple of items there. First of all yes, our onboard costs have been lower related to just moves that we've made in terms of our onboard product not necessarily driven by business travel more than just simply sort of COVID-type decisions that we've made in terms of onboard product. By the way we're always listening to what our customers say as well. So it's something that we pay attention, to in terms of what our customers' feedback is. But -- and in terms of sales and distribution actually it is -- first of all that line moves with sales. And Q4 you might see a spike in terms of sales going forward. So it is -- I think that's the explanation for the distribution line. 
Q – Unidentified Analyst: Thank you very much.
Operator: Thank you. Up next we have Helane Becker of Cowen. Your line is open.
Helane Becker: Thanks very much. Hi, guys. Thanks for the time. Just a couple of questions. One how are you thinking about reinstating the dividend? 
José Montero: Well, I would say Helane, that for the time being it is still not something the -- I think, it's too early to say how or when that's going to be reinstated.
Pedro Heilbron: We have a policy, which is 40% of the previous year profits -- adjusted profit. So that's the policy. And 40% of 2020, 2021's adjusted profit -- yes, it would make for like a fraction of a sense. So we're not going to do that. But I'm pretty confident that if we have a normal year in 2022, as we are expecting to have that policy would automatically come back. 
Helane Becker: Okay. That's helpful. Thanks, Pedro. And then my other question was with respect to aircraft deliveries this year. So, I guess, I got a little confused. You said you took one in -- one MAX 9 in January and you have one more coming in the first quarter. And then how many are coming in the second through fourth quarters?
José Montero: Yes. So in total there will be eight MAX deliveries in the year, including the one that we will come in January. So there will be seven more.
Helane Becker: Okay. And are those going to be leased or owned or financed and…?
José Montero: Yes. Okay. So look the first four -- well including the December airplanes. So the December airplanes were the first three deliveries of this year. They already have -- they're going to be owned and they're going to be financed and that's that. The remaining aircraft of 2022 we're in that -- starting that process now. We're open for alternatives. It could be sale leasebacks or it could be financing. That's -- yes so those aircraft are coming in later in the year. So, all that process is just 20. 
Helane Becker: Okay. That's really helpful. And then if I could just squeeze one more in. The reversal is in the maintenance line, right? 
José Montero: Yes. That's the reason why you see the maintenance line with a credit balance this quarter. 
Helane Becker: Right. That's what I was thinking. But I just wanted to be sure. Thank you. Thanks. All right. Thank you guys. Have a nice best of your day.
José Montero: Yes, we actually took a very good guy out of our underlying results to true them up. 
Helane Becker: Yes. Okay. All right. I just want to make sure I got that right. Thank you.
Operator: Thank you. And next we have Pablo Monsivais of Barclays. Your line is open.
Pablo Monsivais: Hi. Good morning and thanks for taking my question. I have a fairly simple question here. Can you please share with us some details on which countries are showing the strongest demand dynamics and which ones are still a work in progress?
Pedro Heilbron: Yes. I would say that it's balanced. It's hard to say that one country in particular. I mean, there could be a few exceptions here and there and it usually has to do more than anything with restrictions. There are a few countries that still have travel restrictions. Even though in most cases any significant restriction has been lifted. But I would not say that there is a one significant destination or country that we should highlight.
José Montero: It's very well spread out. The behavior -- the demand trends seem to be uniform in general.
Pedro Heilbron: And the bigger markets in our region including the US are open and are behaving in similar ways the US and Brazil. Other countries in South America, Colombia, they're all open and Mexico the same. It's always been open. And so we're seeing traffic flowing among those countries. I mean, not in the same levels as before and there's a shift more leisure less business. But I could not say that one is really much different to the other. 
Pablo Monsivais: Okay. Thank you very much.
Operator: Thank you. Next we have Mike Linenberg of Deutsche Bank. Your line is open.
Mike Linenberg: Okay. Good morning everyone. Hey, just before I go into questions, Pedro when you mentioned a 727 for your freighter operation, I got -- I missed the eye here. I can't think of the last time I've heard an airline executive actually mentioned a 727 on a call. So hopefully, when you switch the business to the 800 and not putting that thing up to the past year, but maybe it's its last flight.
Pedro Heilbron: Luckily, when I mentioned those three numbers was talking about a freighter and not a...
Mike Linenberg: That's right. Unless it had parachutes. Anyway, Pedro, I want to go back to kind of in previous periods over the years, since you guys have been a public company. One of the things that I always thought that you sort of stood out versus other carriers, whether around the region or the world, was your ability to recapture higher fuel prices in your fare structure. And historically, you've done a pretty good job and I can even recall you saying look we were able to get 100%. And I know there's a lag and maybe that lag is three months, five months. And I don't know if it's because you fly -- 99% of your service is international, right? So their fuel surcharges you do get that benefit. And you also fly to a lot of countries that where their economies actually tend to do well when commodity prices are rising. And that's what we're seeing around the world right now. Just look at like the Brazilian stock market it's up pretty meaningfully. So I don't know. Do you feel like that your business and the competition and the backdrop that you can say that you'll be able to recapture 100%. And I'm just curious in the March quarter underlying your 3% to 6% operating margin guide, what's your assumption? Are you assuming maybe you recapture 50% of the run-up in fuel 75%? Is there some percentage that you can give us? So I realize it's kind of a long and sort of comprehensive type question. But there's -- it obviously matters a lot to your P&L in the March quarter and where you think you could be for the year?
Pedro Heilbron: Right. So staying in the 727 all-timers category. The 100% recapture comment was actually in 2007 or 2008, if I'm not mistaken which was the last time actually that fuel went through the roof. Maybe not the last time, but when it kind of got the worst. The reason -- and I'll let José kind of round up what I'm saying. The reason we're not expecting or banking on recapturing the increase in fuel price is just all the uncertainty related to the virus and how we're bringing back capacity and how competition is less predictable. The traffic flows it's more leisure less business. So also harder to change prices in some markets from one day to the other. So it's just the whole business environment is very different right now. And I know the waters will settle and things will normalize as the year progresses, but we don't want to make any bets right now or any promises. Our PRM team as always will do its best to recapture as much as we can hopefully all. But it will take longer I think than before. José, you want to add something?
José Montero: No. I would just add that the air component there is currencies in the region and then currency environment in Latin America is still not as predictable maybe as it would have been in other times. So that's another component of this right in terms of purchasing power. And I have to second what Pedro mentioned in terms of our pricing and revenue management practice which is world-class and they're excellent at what they do and they capture as much as they can from every ASM that we sell. So it's very important. And then the other thing, however, I think the other aspect has changed or that we are really focusing on is our own controllable costs. And so, our CASM ex today is much lower than where it was back in 2007. And that's another big component of our ultimate profitability that we're striving for.
Mike Linenberg: Okay. Okay. Great. And then just one quick follow-up. Since you sort of said that obviously given the current backdrop, obviously a lot more discretionary than say corporate. But is there anything you're seeing on the corporate side over the last quarter two or three, or where maybe you're starting to see a little bit of a pickup or your -- the surveys that you maybe do or whether they're anecdotal or formal surveys with your corporate customers? Are you starting to see some improvement there, or is it just still unchanged? Any color on that front just given the leverage that you guys have to that side of the business? Thank you.
Pedro Heilbron: I'll let José look for more specific information, but we haven't seen much change from the last few quarters. We're still doing something like 40% leisure, 40% VFR and 20% business. It used to be 1/3 each before the pandemic. But also, there are other favorable trends which is we have better load factors in business class for whatever reason. And including probably the pandemic being a reason that we're selling better business class than before. So that's a positive trend. 
José Montero:   Yes. No, no that's it. It's basically -- business travel was about half of where it was back before the pandemic. 
Mike Linenberg: Yes. No that's helpful. So it sounds like maybe you're getting some premium leisure, premium VFR that's sitting up front which is what we're hearing and seeing in the US. It sounds like there's a little bit of that?
José Montero: A little bit of that happening here. 
Mike Linenberg: Very good. great. Nice quarter. Thank you. Thanks for taking the question.
José Montero: Thank you, Mike.
Operator: Thank you. Next, we have Rogerio Araujo of UBS. Your line is open.
Rogerio Araujo: Hi. Congratulations on the strong quarter. So first I would like to address your expectations for yields when the market normalizes. What I mean is, when all the grounded aircraft are back to fly and international demand normalize, do you expect yields to be above 19' level? And by how much? I know it's a very difficult question especially regarding timing. But I think only some kind of best guess here would be very appreciated? And I will do my second question later. Thank you. 
José Montero: First of all, we have -- it's too early to determine where things ultimately are going to end up. We're at -- least in 2022 we're just keeping it in terms of our revenue guidance for the first quarter. But I would say that, the way that we're preparing for any sort of yield environment that might occur whether increased competition or other type of situation with our cost. We have again our Sub-6 CASM ex is stronger than where we were pre-pandemic and that's the way that we will compete. And by the way we also believe of course that the network and the hub in Panama is the best strategy for serving the passengers in our region as well. 
Rogerio Araujo:   Okay. Sounds good. And what about capacity deployment in the region? Because we saw Copa's market share in the major countries doubling. Basically, do you expect a lot of capacity to be still deployed in the upcoming quarters? And when should this movement end? When should we be more confident that you are going to likely increase with demand normalizing? So any color on capacity deployment and how much aircraft is still grounded from competitors would be great. Thank you.
Pedro Heilbron: Right. So I would say that capacity market share has been a little bit all over the place in Latin America. Some of them have deployed capacity faster than others. I mean there are some that are above pre-pandemic capacity and others are still behind. We are like in the middle. We're very close. And by the second half of this year, we will be at a pre-pandemic capacity. So again some are above. Some of the US carriers even some carriers in our region are above. And some of the main airlines that went through the Chapter 11 process are a little bit behind. And all of that alters the market share numbers too. So again I think we stayed like in the middle. And we're following our course. We are focusing on our network on what makes sense to us on bringing back the capacity that we know we can fly profitably. And we expect as mentioned to be sometime in the second half of the year to be above 2019. 
Rogério Araújo: Thanks so Pedro. Have a great year ahead.
Pedro Heilbron: Thank you. 
Operator: Thank you. Last question comes from Dan McKenzie of Seaport Global. Your line is open.
Dan McKenzie: Hi. Thanks. Good morning, guys. A few questions here. José, I am seeing a bigger expansion by Wingo in the current quarter. And my question is to what extent Wingo is going to aid or help the overall system cost story going forward? So if we were to dissect or separate out the two cost stories. Is it that Wingo's CASM ex is sub-5 just given the higher utilization model and then that helps to drive the Sub-6 CASM ex-story at the system level, or is the cost story really being driven as much on the Copa side just given the cost restructuring you've done there? 
Pedro Heilbron: It's both. It's both. And I would say that we're both -- we don't -- as you know we don't disclose individually the two units. But both airlines or both units they are doing better cost-wise. And no one is sub-5 I should say at least not yet but that could change in the future. And it is a good target. And we are operating more ASMs than before the pandemic. We're a little bit less. They are a little bit more. So they are a higher percentage of the total. They're contributing a little bit more than to the overall Copa Holdings number. But again the improvement comes from both units. 
José Montero: Yes. Both airlines are doing much better in terms of cost than pre-pandemic. 
Dan McKenzie: Yes. Very good. And the second question that I have really is just kind of putting a finer point on some of the prior questions. And that is I wonder if you can just provide some perspective on the percent of overall flying say ballpark to the top five countries. And the reason I'm asking is at least when I dug into the schedules it looks like flying in the first quarter is a bit more concentrated than it normally would be. So it looks like you're clearly making some deliberate network decisions here just to leverage traffic in the near term.
José Montero: I would say that we're taking opportunities as they come, but it's been bouncing out more than where we were maybe Q2 of last year where there was a clear traffic going to the US for vaccine tourism and the like. Now, it is -- there is quite a bit in terms of leisure. But it is I think, more balanced than where we were last year. And then, there are some countries that have opened up. That's your item here that some countries in South America were very closed during the third quarter -- second and third quarter last year. And as they've opened, we've added some capacity into those markets as well.
Dan McKenzie: Okay. Can I just squeeze one last one here? I always am asking questions on pent-up demand to all the airlines. And I'm just wondering if you can speak to the Copa website searches that you're seeing for travel in March and this summer. I guess that would be winter in South America actually compared to 2019. So, looking at searches, not bookings. I'm just wondering if you can kind of give us some perspective of what the appetite for travel is as we look ahead.
Pedro Heilbron: Well, we didn't bring that information. There's one -- probably the one piece of information we missed. That -- I think that's your specialty.
Dan McKenzie: Sorry.
Pedro Heilbron: Coming up with that one question that we are not prepared to answer. But so I'm going to have to give you a very general -- but we'll get back to you. I'm going to have to give you a very general answer here. And I think what's encouraging is that we are seeing appetite for travel throughout the region, especially for leisure travel, not only to Copa markets but to Europe, to everywhere skiing season in the US. Some are Copa markets some are not to Caribbean destinations. So in general, we do not see that people are hesitant about traveling abroad. And there's still some pent-up demand or if it's no longer pent-up, it's the urge to get out and do things and go somewhere. So in that sense, we are very, very optimistic on the rest of the year, even though corporate demand is really hard to predict right now for many reasons. But what we see in general is people are willing and want to travel.
José Montero: And if something like you had a plan in January couldn't occur because of Omicron, we're seeing people still commutable on Easter weekend and that sort of things. So, it's not like people are somehow canceling, it's just simply they're postponing their travel.
Pedro Heilbron: And that's a good point also, because the booking curve has shortened. So for all the reasons we know with the virus and travel restrictions and the like, there's more people making their travel plans a lot closer to their traveling dates.
Dan McKenzie: Very good. Thanks so much you guys. Great quarter and look forward to hearing again in another three months here.
José Montero: Thank you, Dan.
Pedro Heilbron: Thank you.
Operator: Thank you. That ends our Q&A session. I will now hand the call back over to Pedro Heilbron for closing remarks.
Pedro Heilbron: Thank you and thank you, operator. So thank you all. This concludes our Q4 and 2021 earnings call. Thank you for being with us, and thanks for your continued support. Have a great day, and we'll see you in the next one. Thank you again.
Operator: Ladies and gentlemen, thank you for your participation. That concludes the presentation. You may disconnect and have a wonderful day.